Operator: Good day, and thank you for standing by. Welcome to the Parsons Corporation Fourth Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. Please note that today's conference is being recorded. I will now hand the conference over to your speaker host for today, David Spille, Vice President of Investor Relations. Please go ahead.
David Spille: Thank you. Good morning, and thank you for joining us today to discuss our fourth quarter fiscal year 2025 financial results. Please note that we provided presentation slides on the Investor Relations section of our website. On the call with me today are Carey Smith, Chair, President, and CEO, and Matt Ofilos, CFO. Today, Carey will discuss our corporate strategy and operational highlights. And then Matt will provide an overview of our fourth quarter and fiscal year 2025 financial results as well as a review of our 2026 guidance and long-term growth rates. We then will close with a question and answer session. Management may also make forward-looking statements during the call regarding future events, anticipated future trends, and the anticipated future performance of the company. We caution you that such statements are not guarantees of future performance and involve risks and uncertainties that are difficult to predict. Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. These risk factors are described in our Form 10-Ks for fiscal year ended 12/31/2025 and other SEC filings. Please refer to our earnings press release for Parsons Corporation's Complete Forward-Looking Statement Disclosure. We do not undertake any obligation to update forward-looking statements. Management will also make reference to non-GAAP financial measures during this call. We remind you that these non-GAAP financial measures are not a substitute for their comparable GAAP measures. Now we'll turn the call over to Carey. Thank you, Dave.
Carey Smith: Good morning. Welcome to Parsons Corporation's fiscal year 2025 and fourth quarter earnings call. 2025 was a successful year despite a dynamic federal government macro environment. We delivered 12% total revenue growth and 8% organic revenue growth, excluding our confidential contract. We continue to be one of the organic revenue growth leaders in both of our segments, with 10% organic growth in critical infrastructure and 7% organic growth in federal solutions, excluding the confidential contract. We expanded our adjusted EBITDA by 60 basis points to a company record of 9.6%. This record margin builds on the 50 basis points of expansion we achieved in 2024. Additionally, we delivered free cash flow conversion of 100% and exceeded the high end of our fiscal year 2025 cash flow guidance range. We efficiently deployed capital by completing three acquisitions during the year and increased our share repurchases while maintaining a strong balance sheet with ample capacity for further investments in our growth strategy. From an operations perspective, we won strategic contracts, achieved high win rates of 61%, maintained strong hiring, and had record retention rates. We delivered double-digit total revenue growth at both critical infrastructure North America and Middle East business units. Also, we were named the number one program management firm in the world by Engineering News Record, one of the world's most trusted companies by Forbes, one of the best-led companies by Glassdoor, and one of the world's most ethical companies by Atmosphere. We are proud of our 2025 accomplishments, and I want to thank more than 21,000 employees for their contributions to delivering our customers' most critical missions. The end of 2025 marked the completion of our performance against the three-year Investor Day targets established in March 2023, with a focus on creating long-term shareholder value. I'm pleased to report that we delivered on this strategy that we outlined at this event of investing in integrated solutions to move up the value chain and win larger and more strategic programs. During this three-year period, we exceeded the high end of all of our Investor Day targets: total revenue, adjusted EBITDA, and operating cash flow. From 2023 through 2025, we increased total revenue by 52% or more than $2 billion. This equates to a three-year compound annual organic revenue growth rate of 10%. And excluding the confidential contract, our three-year compound annual growth rate was 9%, nearly double our four to 6% target. We expanded margins by 120 basis points, resulting in an adjusted EBITDA compound annual growth rate of 20% over the three-year period. Additionally, we grew cash flow from operations by over 100% since 2022, equating to a 26% compound annual growth rate. Given our strong operating performance over the last three years, we were able to reduce our net debt leverage ratio from 1.4 times to 1.3 times while deploying over $1.1 billion on eight strategic acquisitions, capital expenditures, and share repurchases. As we look forward over the next three years, we expect to again drive long-term shareholder value by achieving mid-single-digit or better annual organic revenue growth, supplemented with accretive acquisitions. Additionally, we believe we can continue to expand adjusted EBITDA margins over the next three years with the goal of double-digit margins by 2028. This expansion is on top of the 120 basis points of margin improvement achieved over the last three years and on a revenue base that is more than 50% larger than when we initiated our plan in 2023. Finally, we expect a free cash flow conversion rate of 100% or better over the next three years. Moving to our fourth quarter results, we delivered strong revenue growth, adjusted EBITDA margins, and cash flow. Although our fourth quarter revenue was below our expectations, we achieved total revenue growth of 11% year over year and 8% on an organic basis excluding our confidential contract while contending with the impacts from the longest government shutdown in history. These growth rates include 9% organic growth in our critical infrastructure and federal solutions segments, respectively. In Q4, our adjusted EBITDA margin expanded 110 basis points and operating cash flow of $168 million grew 32% year over year. We also closed the acquisition of Applied Sciences during the fourth quarter. In addition to delivering solid financial results for the fourth quarter, Critical Infrastructure now has 21 consecutive quarters with a book-to-bill of 1.0 or greater, and we won four contracts over $100 million in Q4, with three of the four contracts representing new work for Parsons Corporation. All four contracts were within our federal solutions segment, and we had 15 wins over $100 million for the year, matching last year's record. Significant fourth quarter contract wins include a new ten-year $392 million single work contract by a federal customer. On this contract, we will deliver advanced biometric and identity management solutions combining hardware, software, and integration expertise to support federal, defense, and law enforcement missions. Parsons Corporation has deployed over 3,500 mobile biometric solutions that collect and analyze data in real-time, enabling faster identity verification and improved threat detection. We booked $36 million on this contract during the fourth quarter. We were awarded a new five-year single award classified contract with a value of $200 million. We booked $23 million on this contract during the fourth quarter. We were awarded a five-year $125 million single award repeat contract to support the United States Army Combat Capabilities Development Command Army Research Laboratory, High Performance Computing Modernization Program, and Defense Research and Engineering Network. Parsons Corporation will deliver an array of services including research, development, test and evaluation, infrastructure operations, and comprehensive project management. We booked $44 million on this contract during the fourth quarter. Finally, we were awarded a contract valued at over $100 million by NAMMA, to provide design and program and construction management for a new rocket motor manufacturing facility in Perry, Florida. The two-year industrial base modernization contract represents new work for the company. This project directly supports the Department of War's acquisition transformation strategy by expanding the United States' munitions production capacity, strengthening supply chain resilience, and accelerating delivery of critical capabilities to the warfighter. We booked the full value of the contract during the fourth quarter. After the fourth quarter ended, Parsons Corporation was awarded an early $593 million contract extension under the Federal Aviation Administration's technical support service contract to provide program and construction management, engineering, technical services, health and environmental safety, fire protection, equipment installation and testing, and logistics. FAA elected to exercise our three-year option period nearly a year early, underscoring Parsons Corporation's critical role in FAA's nationwide airspace modernization. And finally, after the fourth quarter ended, we received an intent to award notification for a sole source contract from a national security customer. The contract's new work for the company with a ceiling value of up to $500 million. We booked $13 million on this contract for the low rate initial production which was awarded during the fourth quarter. In addition to winning these large contracts, we effectively used our balance sheet to acquire strategic companies with critical intellectual property that strengthen our existing portfolio by generating revenue growth and adjusted EBITDA margins of 10% or more. Parsons Corporation is viewed as an acquirer of choice in the industry, which frequently provides us the opportunity to pursue preemptive M&A. During the fourth quarter, we acquired Applied Sciences Consulting, a Florida-based engineering firm that specializes in water and stormwater solutions for cities, counties, and water management districts across the state. Water is our most profitable and fastest-growing market within the North America infrastructure business unit. This acquisition expands our expertise, strengthens our presence in Florida, and exceeds our financial M&A thresholds. After the fourth quarter ended, we closed on our acquisition of Altamira Technologies Corporation, in an all-cash transaction, valued at up to $375 million, including the $45 million earn-out. Altamira advances high-priority national security missions supporting intelligence community and Department of War customers by providing multi-intelligence technology solutions and performing critical operations. Altamira expands Parsons Corporation's market presence in signals intelligence, missile warning, space, and foreign military exploitation and adds critical customer depth with the National Air and Space Intelligence Center, National Security Agency, and other classified intelligence customers. There are more than 600 employees, 90% of whom hold security clearances, share the same mission focus as Parsons Corporation, and we are already working on revenue including cross-selling to our customers, expanding our Golden Dome offerings, and providing full kill chain solutions from space to operations. Altamira's technologies, including AI/ML, signals and data analysis, cyber operations, and their deep software engineering capabilities will accelerate Parsons Corporation's expansion into the rapidly growing intelligence and multi-domain areas. The transaction is consistent with Parsons Corporation's strategy of completing accretive acquisitions with revenue growth and adjusted EBITDA margins of at least 10%. As we enter 2026, I could not be more excited about our robust and diverse opportunities to continue to grow our company and outpace industry growth rates. Our unique and synergistic critical infrastructure and federal solutions portfolio, which consists of six growing, profitable, and enduring end markets, provide substantial tailwinds for us to meet or exceed our financial objectives. In critical infrastructure, we see strong demand in both North America and Middle East markets. In North America, our focus on hard infrastructure, such as roads and highways, bridges, airports, and rail and transit, is aligned to the administration's spending priorities. The Infrastructure Investment and Jobs Act provided states the confidence they needed to move forward with major infrastructure projects, and discussions on the next surface transportation bill are well underway. This new five-year bill will add more funding for US infrastructure spending. In the Middle East, our business remains well-positioned for decades to come. In the fourth quarter, we had key wins, including Newmaraba, Riyadh traffic management, and Aldar properties. In addition to our legacy transportation and urban development areas, we successfully leveraged our federal solutions capabilities to move into the defense and security markets and drove synergies across it. Infrastructure with the first deployment of our intelligent network PeriNet, advanced traffic management system into the Middle East. This market expansion illustrates the value of our synergistic and diversified portfolio which creates global opportunities. With long-term infrastructure tailwinds and 21 consecutive quarters of book-to-bill of 1.0 or greater, we've delivered double-digit total revenue growth in both North America and the Middle East for four consecutive years. And we expect further growth in both geographies for the foreseeable future. We are winning the largest projects in our company's history, and we've established a distinguished global reputation. In federal solutions, we remain excited about the upward momentum in defense budgets. This includes the reconciliation funding of over $150 billion for the Department of War and over $190 billion for the Department of Homeland Security, the vast majority of which has not been spent, and the potential of a much larger defense budget in 2027. Our purpose-built portfolio has strong alignment to the administration priorities, especially in full-spectrum cyber operations, electronic warfare, air and missile defense, space superiority, counter-unmanned air systems, industrial base modernization, and border security. Through our acquisitions and internal research and development investment, we've developed differentiated capabilities to protect our nation and deter adversaries. In summary, we've been one of the industry growth leaders in both of our segments for the last three years. And we expect this success to continue as we leverage our unique, complementary, and diverse portfolio. Our balanced portfolio and alignment to priority areas enabled us to withstand short-term headwinds that occurred last year. We've demonstrated our ability to cross-sell capabilities, including cybersecurity, critical infrastructure protection, advanced manufacturing, program extraction management, aviation, environmental remediation, and intelligent transportation systems. Our business remains steadfast as we are consistently delivering mid-single-digit or better organic revenue growth while expanding margins and delivering strong free cash flow. Also, we're supplementing our organic growth with accretive acquisitions to further differentiate our portfolio. In addition, our balanced portfolio diversifies our revenue stream as our largest contract is expected to only generate 4% of our total revenue in 2026. Our leading indicators, which include a $55 billion pipeline, strong win rates of 61% in 2025, total backlog of $8.7 billion, of which 73% is funded, and our $11 billion of contract wins that we have not yet booked, gives us confidence that we will continue to outpace market growth rates. As a result, I look forward to what we'll accomplish in 2026 and over the next three years. We have an experienced management team, operate in six end markets that are all growing, a purpose-built national security portfolio that outpaces near-peer threats, unprecedented global infrastructure spending, and a favorable financial outlook with an effective capital deployment strategy. With that, I'll turn the call over to Matt to provide more details on our fourth quarter and fiscal year 2025 financial results. Matt?
Matt Ofilos: Thank you, Carey. 2025 financials were highlighted by strong revenue growth, significant adjusted EBITDA margin expansion, delivering free cash flow ahead of expectations. In addition, we continue to effectively deploy capital for strategic acquisitions, internal research and development, and share repurchases to support long-term growth and drive shareholder value. Turning to the details of our fourth quarter results, total revenue grew 11% on an organic basis, excluding our confidential contract. These increases were driven by double-digit growth in our transportation, critical infrastructure protection, urban development, and space and missile defense markets. Total revenue, including the confidential contract, decreased 8% from the prior year period and was down 10% on an organic basis. SG&A expenses for the fourth quarter decreased 2% from the prior year period. The decrease was primarily driven by effective cost management and lower transaction-related expenses, partially offset by the inclusion of recent acquisitions. Fourth quarter adjusted EBITDA of $153 million increased 5% from the prior year period, and adjusted EBITDA margin expanded 110 basis points to 9.6%. These increases were driven by improved execution and growth on accretive contracts, offsetting lower revenue volume on the confidential contract. Total revenue for fiscal year 2025 increased 12% from the prior year period and was up 8% on an organic basis, excluding the confidential contract. The strong organic growth throughout the year was driven by the ramp-up of recent contract wins and growth on existing contracts. Total revenue, including the confidential contract, decreased 6% from the prior year period and was down 9% on an organic basis. SG&A expenses for total year 2025 increased 6% from the prior year period. The increase was primarily driven by the inclusion of three acquisitions completed in 2025, strategic investments to support future growth. Record fiscal year 2025 adjusted EBITDA of $609 million increased 1% from 2024. Adjusted EBITDA margin increased 60 basis points to a record 9.6%. Adjusted EBITDA increases were primarily driven by improved program performance, effective cost control, and accretive acquisitions. It's important to note that despite $1 billion of revenue headwinds in 2025 from the accretive confidential contract, we were able to report record adjusted EBITDA and adjusted EBITDA margins reflecting the strength and breadth of the portfolio. I'll turn now to our operating segments. Starting first with critical infrastructure, where fourth quarter revenue increased by $89 million, 12% from 2024. This increase was driven by organic growth of 9% and inorganic revenue contributions from our BCC TRS, and applied sciences acquisitions. Organic growth was driven primarily by the transportation and urban development markets. Critical infrastructure adjusted EBITDA of $87 million increased 87% from 2024, and adjusted EBITDA margin increased 420 basis points to 10.6%. Both adjusted EBITDA dollars and margins were fourth quarter records for CI. These increases were driven by improved program performance, the ramp-up of recent awards, and accretive acquisitions. For the full year, critical infrastructure revenue increased 15% on an organic basis. The strong year-over-year organic growth was driven by the ramp-up of recent contract awards and existing contracts, primarily within the transportation and urban development markets. This is the fourth consecutive year in which both our North America and EMEA business units delivered double-digit total revenue growth. Critical infrastructure adjusted EBITDA of $328 million for the full year increased 73% from 2024, and adjusted EBITDA margin increased 350 basis points to 10.4%. Both adjusted EBITDA dollars and margins were fiscal year records. Increases were driven by strategic portfolio decisions over the past several years leading to higher margin work and improved program performance. Additionally, we have efficiently managed indirect expenses during a period of strong top-line growth. Moving to our federal solutions segment, where fourth quarter revenue increased 9% on an organic basis, excluding the confidential contract. Increases were driven by growth in our critical infrastructure protection, space and missile defense, and transportation markets. Total federal solutions revenue, including the confidential contract, decreased 22% from the prior year period and 24% on an organic basis. Federal Solutions adjusted EBITDA decreased 34% from 2024, and adjusted EBITDA margin was 8.4%. Adjusted EBITDA was primarily impacted by lower volume on the fixed-price confidential contract and recent execution challenges on a program in a remote region. For the full year, federal solutions revenue increased 9% on an organic basis, excluding the confidential contract. A strong year-over-year organic growth was driven by critical infrastructure protection, cyber and electronic warfare, space and missile defense, and transportation markets. Total federal solutions revenue, including the confidential contract, decreased 20% from the prior year period, and it was down 21% on an organic basis. Federal Solutions adjusted EBITDA for the full year decreased 32% from 2024, and adjusted EBITDA margin decreased 170 basis points to 8.7%. These decreases were driven primarily by lower volume on a fixed-price confidential contract and investments in growth. Next, I'll discuss cash flow and balance sheet metrics. Our net DSO at the end of Q4 2025 was sixty-seven days, a twelve-day increase from the prior year period. This increase was primarily driven by lower volume on the confidential contract and strong growth in the associated timing of collections in the Middle East. During 2025, we generated $168 million of operating cash flow, which was ahead of expectations on strong collections and drove free cash flow conversion to 100% for fiscal year 2025. Capital expenditures totaled $32 million in 2025, and $68 million for the full year. Our full-year CapEx spend was in line with our plan of approximately 1% of annual revenue. Our balance sheet remains strong as we ended the fourth quarter with a net debt leverage ratio of 1.3 times. During the year, we closed three strategic acquisitions totaling $145 million, net of cash acquired. Including the cash acquisition of Altamira in Q1 2026, pro forma leverage would be approximately 1.8 times based on Q4 results. During Q4, we repurchased approximately 856,000 shares, which for $60 million. For the full year, we repurchased approximately 1.8 million shares at an average purchase price of $68.59, for an aggregate price of $125 million. Turning next to bookings, the fourth quarter reported contract awards of $1.5 billion, representing a book-to-bill ratio of 0.9 times on an enterprise basis. On a trailing twelve-month basis, our book-to-bill ratio is 1.0 times, which continues our streak with a trailing twelve-month book-to-bill ratio of 1.0 or greater in every quarter since our IPO. Critical infrastructure, we achieved a book-to-bill ratio of 1.1 times, which is a twenty-first consecutive quarter with a book-to-bill ratio of 1.0 or greater. For the full year, our 1.2 times book-to-bill ratio. Federal solutions, we reported a book-to-bill ratio of 0.8 times for both the fourth quarter and full year. Our backlog at the end of the fourth quarter totaled $8.7 billion, a 2% decline over Q4 2024, mainly driven by the impact from the confidential contract coming to completion. Our funded backlog of $6.4 billion remains the highest since our IPO and increased 8% year over year. At the end of Q4, our funded backlog represented 73% of total backlog, which is also a company record. Now let's turn to our guidance. For 2026, we expect revenue to be between $6.5 and $6.8 billion. This represents 4.5% growth at the midpoint of the range and 0.5% growth on an organic basis. As previously discussed, we have a headwind of approximately $345 million from our confidential contract as we enter 2026 with the program scheduled to complete in Q1. The $345 million year-over-year headwind, $275 million will be realized in 2026. Excluding this contract, the rest of the portfolio is projected to grow total revenue 10.5% and 6% on an organic basis, which is in line with the mid-single-digit or better organic revenue growth we've been communicating. Adjusted EBITDA is expected to be between $615 and $675 million, with a margin of 9.7% at the midpoint of our revenue and adjusted EBITDA guidance ranges. This represents adjusted EBITDA growth of 6% and margin expansion of approximately 10 basis points from 2025 at the midpoint. Cash flow from operating activities is expected to be between $470 and $530 million. This represents 4.5% growth at the midpoint of the range and 100% free cash flow conversion of adjusted net income. This includes an increase in CapEx spending to approximately 1.5% of total revenue, which is mainly driven by growing demand for additional classified facilities. Our 2026 guidance ranges contemplate domestic budget uncertainty, a competitive labor market, and best estimates related to the government procurement environment. These macro risks are offset by tailwinds to include unprecedented global infrastructure spend, a federal portfolio that is closely aligned to the administration's priorities, recompete risk of approximately 5% of 2026 total revenue, $8.7 billion of total backlog, including record funded backlog, $11 billion of contracts awarded to Parsons Corporation but not yet booked into backlog. Other key assumptions in connection with our 2026 guidance and our quarterly cadence are outlined on slide 16 in today's PowerPoint presentation located on our Investor Relations website. In terms of our long-term financial targets, our outlook continues to support mid-single-digit or better organic revenue growth with a goal of double-digit margin by 2028 and a free cash conversion rate of at least 100% of adjusted net income. We expect to supplement our organic growth with acquisitions accretive to both top and bottom line. In summary, our core business executed very well in 2025. Delivered strong revenue growth excluding the confidential contract, significantly expanded margins, and delivered strong free cash flow. That cash flow was redeployed to fund strategic acquisitions, internal research and development, and share repurchases to position us for future growth and drive long-term shareholder value. With that, I'll turn the call back over to Carey. Thank you, Matt.
Carey Smith: Although 2025 was a dynamic year in many ways, it validated the strength and resiliency of our portfolio. We're fortunate to operate in two large and well-funded segments across six growth end markets, and we're capitalizing on these tailwinds to remain an industry growth leader, expand margins, and generate strong free cash flow. We're optimistic about our future given our team's proven execution, the tailwinds we have in both segments, our strong total and funded backlog, and our robust pipeline of large opportunities. With that, we'll now open the line for questions.
Operator: Thank you. And wait for your name to be announced. To withdraw your question, simply press 11 again. Please stand by while we compile the Q&A roster. Our first question coming from the line of Sangita Jain with KeyBanc Capital Markets. Your line is now open. Good morning, Carey, Matt. Thanks for taking my question.
Carey Smith: Obviously, CI margins continue to exceed expectations.
Sangita Jain: Just wanted to see if it's safe to presume that the legacy adjustments are behind you. And should we expect this performance as a reasonable run rate going forward? Kinda trying to see if this will be the segment that drives the push to double-digit margins by the end of the planning period.
Carey Smith: Yeah. Good morning, Sangita. Thanks for your question. Yes, the legacy programs are behind us. We're in final closeout stages with the customers, but the execution has completed. We still expect continued expansion in margin for critical infrastructure as we look to 2026, and we also expect expansion in the federal market as we look to 2026. 10 basis points for Parsons Corporation, and that's 10 basis points for federal, 20 for critical, and infrastructure. Critical infrastructure will expand more quickly because about 75% of that business is fixed price, time, and material, and 25% is cost reimbursable. And most of the expansion will come from North America.
Sangita Jain: Got it. Thanks. And one on Federal Solutions, if I can. Obviously, April had the impact of the shutdown. But just curious on how you're seeing the cadence of order activity since the end of the shutdown and if it still continues to be more of a book and burn environment. Just trying to see because book-to-bill in that segment has been sub one for some time now. Thank you.
Carey Smith: Yeah. Thanks, Sangita. Q4 did have the impact of a forty-three-day government shutdown, but I'm really pleased, the six awards that we announced on our call, all of which were greater than $100 million, were all in the federal segment, and a lot of that representing brand new work for Parsons Corporation. As we go into 2026, we're very confident that we will achieve over a 1.0 book-to-bill for Federal Solutions. Starting off in 2026 based on the award activity we're seeing.
Sangita Jain: Appreciate it. Thank you.
Operator: Thanks, Lisa. Thank you. And our next question coming from the line of Louie DiPalma with William Blair. Your line is now open.
Louie DiPalma: Carey, Matt, and Dave, good morning.
Matt Ofilos: Morning, Louie.
David Spille: Carey, you recently announced a win for your Drone Armor system. How do you view the addressable market in both the US and internationally as there's been a major focus on air defense with drones?
Carey Smith: Yeah. Thanks, Louie. So first, I'll say we're really excited about our drone armor solution. We recently achieved technology readiness level nine. And this solution has been proven to protect personnel, bases, and assets from drone threats. It's built on a modular open system architecture. Where we're unique, it really allows for a lot of customization and adaptation to various mission requirements. We also use artificial intelligence and machine learning for enhanced decision-making and to reduce the cognitive workload. And we have a core command and control component. We had the opportunity to demonstrate our drone armor recently when the Department of Homeland Security and all of their components visited our Summit Point facility. We see opportunities not just with the Department of State, which we're currently providing those solutions to, but also with the Department of Homeland Security. And then for protection of FAA sites as well. So broad market area.
Matt Ofilos: Great.
David Spille: Thanks. And, Carey, you recently visited the Middle East. What are you hearing in terms of the demand for mega projects? There's been speculation that some of the mega projects on the transportation side could convert towards data center build. But what are you hearing on the ground in the Middle East?
Carey Smith: Yeah. We had a great visit to the Middle East. We went to Saudi Arabia as well as the UAE in January. And I think, Louie, what you're referring to, Saudi's taking a move, what I would call, towards fiscal discipline, and they're prioritizing projects that are tied to the immediate upcoming global events like the 2030 World Expo and the 2034 FIFA World Cup. And they're scaling back or delaying some of what I would call the more speculative longer-term real estate ventures. Again, in the Middle East, we've had four years of consecutive double-digit growth, so we continue to rapidly expand. And we are on all the giga projects within Saudi Arabia. We're the number one program manager in Saudi Arabia, UAE, as well as Qatar. And there's gonna be a lot of spend there coming up in all of those. We've moved our business not just from doing urban development and transportation as we've historically done, but we've gotten into the defense, the border security, and the tourism and hospitality sectors as well as industrial manufacturing. One thing I will note for us a couple of years ago, we made a very smart decision, which was to focus on programs around Riyadh. So we've been awarded a lot of those such as King Salman Park, King Abdullah Financial District, Riyadh Ring Roads, Riyadh Traffic Management, Qiddiya, King Salman International Airport, and most recently, New Murabba. And that's where, again, they will spend the money. But I will say following Saudi Vision 2030, there will be a Saudi Vision 2040 where they'll go back to looking at some of the longer-term real estate projects, things like Neom or some of their growth like Al Soudan and other tourism locations. We see growth in the Middle East for decades to come.
Louie DiPalma: Okay. And merging my first question and second question, with the World Expo and the World Cup, are you able to provide some of your own intellectual property technology solutions to the Middle East as well? Are you able to export drone armor to the Middle East, and are you able to utilize some of your transport modernization solutions such as iNet in the Middle East in addition to being a program manager?
Carey Smith: Yeah. We're able to offer quite a few capabilities for the events that are coming up in the Middle East. On the federal side, we obviously have to go through the ITAR and the technical assistance agreement process to get releasability for that. But we are already able to offer the iNet solution, which does not fall under the ITAR, and I mentioned we're using that for traffic management around, and we see that system being further deployed. Given that we did the traffic management for the Qatar World Cup, and it was very successful, we were also involved in Dubai both on the metro as well as overall construction management services, we see potential plays in those areas as well. Then on the federal side, we would look at things like electronic security systems, potentially biometrics capability. And if we have releasability for something like counter-unmanned air systems. Those are all offerings that we could provide. Parsons Corporation has been involved in every world event since the 1996 Atlanta Olympics. We look forward to helping the Middle East as well as the United States and Canada with the upcoming events.
Operator: Great. Thanks. Thanks, Carey.
Louie DiPalma: Thank you, Matt and Dave. Louie. Thanks.
Operator: Thank you. Our next question coming from the line of Gavin with UBS. Your line is now open.
Gavin: Thank you.
Matt Ofilos: Morning.
Gavin: Good morning, Gavin.
David Spille: As if I exclude the confidential contract last year,
Gavin: you still had to revise Federal Solutions revenue guide down a couple of times? So any common theme you can identify that was driving that, and have you taken any different approach to framing the 2026 Federal Solutions guide?
Carey Smith: Yes. I would say on Federal Solutions, we definitely were impacted by the shutdown. There was slower procurement activity leading up to the shutdown as well. Specifically, had two contracts, our air base air defense as well as our joint cyber hunt kit that were delayed, and that had a lot of material volume. As you know, materials can be lumpy. I think what we're seeing right now is a positive procurement environment. The fact that we were able to get six awards greater than $100 million booked for federal between Q4 and early Q1. And as I mentioned earlier,
David Spille: strong book-to-bill of
Carey Smith: greater than 1.0 for federal as anticipated for 2026. And, Gavin, I'll just add, you know, everything Carey said, but on
Matt Ofilos: top of that, I think, you know, when it comes to kinda new new or kinda getting used to the cadence and the amount of time it gets to award. So maybe a little bit more conservatism on timing of new new and a little bit more bullishness on contract growth and things like that. So it kinda nets out a little bit, but the new new is a more difficult environment today than it was prior administration.
Gavin: Okay. That's helpful. And appreciate the guidance on color or color on quarterly cadence for the year. It looks like there's a pretty big step up in 2Q from 1Q. What's driving that?
Matt Ofilos: Yeah. Biggest driver there, Gavin, is mainly the Middle East. In the Middle East, in 2025, the holidays spanned over Q1 and Q2. In 2026, it's all within Q1. So you'll see, you know, kinda Middle East kinda flattish in Q1 and then almost 20% growth in Q2. But first half is kinda bracketed comp in a balanced way. Thank you.
Operator: Thanks, Kevin.
Gavin: Thank you.
Operator: Our next question coming from the line of John Gordon with Citi. Your line is now open.
John Gordon: Hey, thank you for taking my question. I wanted to follow-up a little bit on the margin outlook. There were a few drivers on Slide 15, things like operating leverage, growth in margin accretive contracts, growth in high margin markets. I was hoping you could dig into those a bit more and elaborate. I'm just curious if you think there's potential for upside to margin guidance for the year?
Matt Ofilos: Yes. I would say, obviously, we're really happy with over the last two years, 110 basis points of margin expansion, kind of well ahead of our Investor Day targets. So I'd say, again, kinda 2024 and 2025 outperformed. 2026 have about $350 million worth of headwind from that confidential program, which was accretive, of course, to the company margins. And so we're competing against that a little bit. But overall, I think, you know, great news is in 2025, net EAC adjustments was down about 50%, so an improvement of about 50%. So really great performance across the company. So, yeah, I think there is, you know, as we expand on products, as we have additional accretive M&A, and two-point leverages are all great opportunities to continue to expand margin.
John Gordon: Okay. Great. And you also mentioned that you're targeting double-digit margins for the enterprise. You're not far away from that. That's not a surprise. I'm just curious, you know, infrastructure is already there, federal isn't. Do you think both segments will be at double-digit margins
Matt Ofilos: Or is this going to be more of a barbell where infrastructure continues to move higher and drag the
John Gordon: company average out?
Matt Ofilos: I suspect for the period, infrastructure will remain higher and kinda north of 10% and, you know, Carey's point earlier, about 10.5% in 2026 at the midpoint. Federal, of course, is always really driven by the mix of work. Cost plus versus fixed price. And so we are seeing faster growth on cost plus in the federal area. The opportunities again on as we expand on products, the product deliveries is a great opportunity to expand margins in federal. But overall, right now, we see federal in kind of high eights, low nines short term and trending toward mid-nines longer term.
John Gordon: Appreciate it. Thank you.
Carey Smith: Thanks, John. Thanks, John.
Operator: Thank you. Our next question coming from the line of Sheila Kahyaoglu with Jefferies. Your line is now open. Good morning, guys, and thank you. I know it's been asked a few ways, but just on 2026, Carey, Matt, any sort of color on the largest program movers that are growing in '26 from whether it's a contract area
Carey Smith: or a particular contractor or a specific area. Yeah. Thanks, Sheila. So again, I would kinda go back for the federal side to highlight some of the key wins that we've had. Joint Cyber Hunt kit would be one of those. I we highlighted two classified wins. The $392 million contract was a takeaway from another company, and the $200 million one represents brand new work for us. We're also expecting continued growth on our GSA schedules as well. And then within the Middle East, it would be the contracts that we've won recently, including the airport contract, the Riyadh traffic management contract, the New Murabba contract. Those are all gonna be ramping up. And then within critical infrastructure, North America, it's kind of across the board, a lot of the major contracts like Newark Airtrain, Hawaii rail and transit, and some of the larger programs.
Operator: Got it. And then maybe a bigger picture question for you, Carey. Just given one of your competitors preannounced negative this morning, we're seeing sort of a dichotomy between
Carey Smith: IT services, CACI at the high end, Leidos kind of there along with it.
Operator: And
Carey Smith: declines as well in the sector. So where are you seeing areas that are improving in the government budget? And where are you shifting your portfolio to? Clearly, critical infrastructure is good, but within the federal side, maybe any additional color on how you're trying to shift that $11 billion unbooked pipeline to convert into revenues? Yes. I would say we're very fortunate in federal, and that's why we're very bullish on strong book-to-bill as we come into 2026 within federal, and we started to see these large awards go through. We're well aligned with the key areas of focus both under the national defense strategy as well as what's in the reconciliation budget. And those dollars are gonna have to get spent. So whether you're looking at areas like Golden Dome or Border security or counter-unmanned air systems, biometrics, and then cyber operations, and then electromagnetic spectrum, space. We're very well positioned. And if you look at reconciliation alone, we believe that we have about $85 billion of addressable market for Parsons Corporation. So I feel our portfolio is well aligned for 2026 and beyond.
Operator: Got it. Thank you.
Sheila Kahyaoglu: Thank you.
Operator: Thank you. And as a reminder, to ask a question, please press 11. Our next question coming from the line of Andrew Wittmann with Baird. Your line is now open.
Andrew Wittmann: Oh, great. Good morning, everyone. So I wanted to ask about the outlook for critical infrastructure's backlog. Specifically, Carey, you just mentioned some of those large, larger projects that you've won over the last year or two, Hawaii, Newark Airtrain. Georgia state route. There's a bunch of them in there that are obviously very significant and have been very powerful drivers. Those are getting into bigger burn stages now. You made a comment on your federal first half bookings, but I was wondering if you think that, with the ramping burn rate, if you think the book-to-bill in CI can still remain over one in the first half or even for the full year, just kinda moving parts as you look at your pipeline there and your recent win rates, please.
Carey Smith: Yes. So we have planned for critical infrastructure book-to-bill to remain over 1.0 for 2026. Again, resting on 21 consecutive quarters of greater than 1.0 in the demand that we see both in North America as well as in the Middle East.
Andrew Wittmann: Okay. Great. And then just as a follow-up, I guess, maybe I wanted to kinda have you zoom in on a few projects which have been in the headlines or are notable today. One of them is Golden Dome, and you've referenced this. And, obviously, you're one of many, many contractors with a very large contract. I was just wondering what
Carey Smith: you're seeing there in terms of your ability to win task orders that's in your backlog today, if at all, and maybe just how Parsons Corporation is or is not affected by the turmoil surrounding the Hudson River Tunnel project, which has obviously been a lot of fits and starts here even here in recent days.
Carey Smith: Yeah. Let me take the Hudson River Tunnel question first. So last week, the US district judge ordered the funding restored. And so that would have forced the Trump administration to lift the four-month freeze on federal funding. But then on Monday, she issued an administrative
Operator: stay
Carey Smith: which basically leaves the tunnel construction on hold until February 12 at 5 PM. And preserving the status quo, while the US court of appeals for the second circuit is considering whether to intervene. So the outcome is if the appeals court grants a stay, the funding freeze would remain in place during the appeal. If it does not, the judge's injunction, barring enforcement of the funding suspension is set to take effect again at 5 PM on February 12, and that would allow federal disbursements to move forward. It's important to note that this contract represents less than 0.5% of Parsons Corporation's revenue. On to your second question, within Golden Dome, I'd say our biggest play there is our role that we have with the missile defense agency. Again, we're the system engineering and integration contractor for the missile defense agency. So we expect and we have been doing some work relative to Golden Dome on that contract. And secondly, I would say nonkinetic effects, the use of cyber and electronic warfare instead of kinetics to kinetics is a growth opportunity for us. Airbase air defense is another one. We're providing protection of airbase air defenses and for the air force base in Europe. And you could think about that as being similar to what's gonna be needed to provide the local area of the defense here within the US and the Golden Dome program. And then I'd say, we also have some cyber efforts. Golden Globe has been starting to roll out. It's been a little slow, but classified architecture has been released. General Line is confirmed and running the program. There's been a four-layer kinda strategy that's defined, which is a layer distributed and software defined. There's been command and control integration, task force worked up, and there's a few small contracts for space-based interceptors. But our key play is really system engineering and integration.
Andrew Wittmann: Thank you.
Matt Ofilos: Thank you.
Operator: Thank you. And, again, as a reminder, to ask a question, please press 11. Our next question coming from the line of Tobey Sommer with Truist. Your line is now open.
Tobey Sommer: Thank you.
David Spille: I'm curious. What in 2026 do you
Andrew Wittmann: expect in terms of changes in revenue and profit from the FAA customer?
Carey Smith: Yes. So, we do expect growth on our FAA technical support services contract. And again, they exercise the option nearly a year early, which we were pleased with. For $593 million over the next three years. We've supported the FAA for five decades, and currently, we're on the technical support service contract, $1.8 billion contract over ten years. We have over 500 FAA cleared personnel that support engineering, construction, environmental equipment installation. We're located at over with thousands of FAA sites, it's pretty much all the national airspace sites including nav aids, radar sites, communication sites, and military installations. And then we also have a team that includes over 300 subcontractors. There's a lot of money that's been put in, $12.5 billion to modernize the air traffic control center. And so we look forward to continuing our role as the implementer for that work for the FAA.
Andrew Wittmann: Thanks, Carey. And then
Tobey Sommer: you did talk about areas of
Carey Smith: growth this year within federal.
Tobey Sommer: But
Carey Smith: was wondering, would your answer be the same for areas that are likely to spearhead the greater than one book-to-bill in the first half? Would they map against CyberKit and, you know, GSA schedules that you commented on earlier?
Carey Smith: Yeah. They would be in the same areas. The Joint Cyber Hunt kit program. Obviously, the FAA award will get booked in the first quarter. Those are the two that we announced after the fourth quarter ended. But once again, all of our market areas are growing, whether it's cyber and electronic warfare, space and missile defense market, or critical infrastructure protection.
Tobey Sommer: And the last question for me. What's your what's the most area for the company to apply capital to in the form of acquisitions over the balance of the year?
Carey Smith: Yes. We'll continue to look in similar areas. I say on the federal side, Altamira is a great example, you know, where they hit a lot of points: cyber, signals intelligence, space capabilities. And then also, they broadened our customer reach, particularly with the intelligence community customer and also, NASIC National Air and Space that's out of Dayton, Ohio. So that's a good example of a federal one, and that builds upon companies that we've bought in the past like, Black Signal, Black Horse, and CTI. And it broadens our all-domain capabilities. Within critical infrastructure, we're gonna continue to look in the water space. We're also gonna continue to double down on transportation engineering. And specifically looking across our six tier-one states: Florida, Texas, California, New York, New Jersey, and Georgia.
Tobey Sommer: Let me sneak one more in if I could. Does the company have an interest in expanding and amplifying its ability in critical infrastructure to participate in what looks like a global increase in demand for nuclear energy?
Carey Smith: We have a small footprint in nuclear today, and it is expected to grow, as you indicate, both in the United States as well as in the Middle East. We're currently the Department of Energy National Nuclear Security Administration engineering and construction management services contractor. We're also starting to look at some small micro-reactor type of projects. There's a few bids out on those. We also do microgrid work. For example, we have a program in Puerto Rico that's been going quite well. And then within the Middle East, we're having discussions with companies because they're gonna be making a large investment in nuclear.
Tobey Sommer: Thank you.
David Spille: Thanks.
Operator: Thank you. Our next question coming from the line of Gavin Parsons with UBS. Your line is now open.
Gavin Parsons: Hey.
Gavin: For the follow-up. I just wanted to ask on the medium-term growth targets. First, what are you assuming for the DOW budget growth? Or is that based on reconciliation flow through? And then second, is that mid-single-digit plus just a blend of the end markets? And does that not contemplate any potential for market share? Thanks.
Carey Smith: That's the first part, and then Matt will answer the second. But I would say from a budget request, we've got again very strong alignments, the reconciliation budget both for Department of Homeland Security as well as Department of War, and we see about $85 billion and for the FAA. We see about $85 billion of that being addressable for Parsons Corporation. As we look forward to FY 2027, President Trump has
Operator: announced
Carey Smith: that he would like to have a $1.5 trillion defense budget. That would represent a historic 50% increase over the $1 trillion that was authorized for FY 2026. There's some arguments that you can say it might happen because there's a lot of executive commitment to the priorities such as Golden Dome and Golden Fleet. There is congressional support, particularly coming from the GOP for a higher budget. And then the Republicans are also taking a look at a second potential reconciliation budget that might be, like, $450 billion to $600 billion. On the areas that reasons that FY '27 may not reach full amount. There's obviously fiscal concerns that the increased would add about $5.8 trillion to the national debt over a decade. And then depending on what happens with the upcoming elections. So we're watching that closely, but I would say feel very good about FY '26, the one big beautiful bill at the reconciliation funding starting to flow, and there's clearly momentum towards the larger FY '27.
Matt Ofilos: Yeah. Gavin, I would just add, you know, to your point, within our markets are pretty strong, you know, kinda averaging in that 6.5% range. But higher win rates that we have flowing through the plan over the next few years would assume some takeaway as well.
Gavin: Thanks again.
Carey Smith: Thank you, Kevin. Kevin. Thank you.
Operator: And that's all the time we have for our question and answer session today. I will now turn the call back over to Dave for any closing comments.
David Spille: Thank you for joining us this morning. If you have any questions, please don't hesitate to give me a call. We look forward to catching up with many of you over the coming weeks.
Carey Smith: And with that, we'll end today's call. Have a great day.
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you for your participation. You may now disconnect.